Operator: Good day, and welcome to the Smith & Nephew Quarter 1 Results 2015 Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Olivier Bohuon, CEO. Please go ahead.
Olivier Bohuon: Thank you. Well, good morning, everyone. This is Olivier Bohuon, and I'm here with Julie Brown, our CFO. And welcome to our first quarter trading call. I will cover the highlights, and then Julie and I will be happy to take your questions at the end. So as a reminder, in February, we announced a simplification to our reporting calendar of Q1 and Q3. We now issue quarterly trading reports focused on the revenue trends. We issue a full interim results report for H1 on July 30. And to this call, I will focus mainly on the sales dynamic. So first of all, we had a good start to the year, in line with our expectations. We are on track to deliver improved revenue growth and to improve our trading profit margin compared to 2014 as stated in our full year outlook. In particular, I will highlight the following: Sports Medicine Joint Repair has grown 9% and shows the benefit of the ArthroCare acquisition, Smith & Nephew's largest acquisition to date, as you know. JOURNEY II continuous to drive our Knee business forward. In the emerging markets, we delivered growth of 22%. And we strengthened our presence in Latin America with the acquisition -- recent acquisition, I would say, of our Colombian distributor. Advanced Wound Care improved following the steps we took in 2014, and I'm pleased to see the strong growth we have generated in the U.S. And I will now turn to the quarter. As usual, the slides capture our underlying growth, on the left-hand side, geographically, and on the right, by product franchise. We delivered 3% underlying revenue growth. The first quarter had one fewer selling day, which we estimate held back growth by just over 1 percentage point. In the U.S., revenue growth was up 1%. In the Other Established Markets, sales declined by 2%, mainly due to weak dynamic in Europe. Emerging Markets grew by 22%, including a strong contribution for our mid-tier portfolio. I will now turn to look at each franchise in more details. So starting with Sports Medicine Joint Repair, we had another excellent quarter, growing at 9%. And the benefits of the ArthroCare acquisition are evident, with our business performing even better in the U.S., and we have now completed the integration. We continue to fill the product bag. And at the American Academy of Orthopaedic Surgeons in March, we launched the Q-FIX All Suture Anchor for shoulder and hip repair. Enabling Technologies was impacted by unexpected decline in royalties, which contributed to 2% fall in underlying revenue. You will remember that ArthroCare received royalty income from a number of third parties for its previous generation of RF technology. And I expected we are seeing this income gradually reduce. Excluding this, our U.S. Enabling Technologies business delivered its best quarter in 3 years, underscoring the rationale behind the combination of the 2 businesses. If you went to the AAOS, you will have felt the excitement of the teams. And we now have the broadest resection portfolio on the market. Our Trauma & Extremities revenue grew by 5%. And our Other Surgical Business franchise, previously called other ASD, which now include the ENT business and the GYN, delivered a combined underlying growth rate of 11%. Globally, our recon implant revenue was up 1%. We are very pleased with the performance in U.S. Knees, driven by strong traction with JOURNEY II. The Hip performance in the quarter should be seen in the context of our exceptionally strong Q4 in the U.S., when we benefited from the tail end of our successful VERILAST Hip campaign. In February, we also launched the next marketing campaign in the U.S. for both Hip and Knee, focused on our unique VERILAST Technology. It has generated very strong initial interest, and we expect to see the benefits of this DTC campaign from Q2. The market dynamics in Europe continue to impact performance. Germany has remained sluggish. And initially, the U.K. has seen a slowdown in elective surgery volumes. And as you know, these 2 countries represent a large proportion of our European sales. In the quarter, our unique OXINIUM bearing surface passed a significant milestone when the 1 millionth OXINIUM joint was implanted. Advanced Wound Care grew revenues by 9%. Within this, as expected, the U.S. grew strongly, reflecting some early results from our actions, including the new management, refocused sales force. In addition, we have the soft comparable we saw due to de-stocking in the first quarter of 2014. In Advanced Wound Bioactives, we grew at 5%. And as a reminder, almost all the Bioactive sales are in the U.S. and we are seeing some increased seasonality due to insurance plan deductibles. Growth rates improved month-on-month through the quarter. And we continue to expect a double-digit growth for the full year. In Advanced Wound Devices, our Negative Pressure Wound Therapy portfolio was, again, double-digit outside of the U.S. However, the U.S. distribution hold on the RENASYS system pushed global device sales growth down 27%. So we're working towards U.S. approval, and we continue to evaluate our market reentry strategy. However, for modeling purposes -- purpose, we would not expect a meaningful sales contribution in H2. PICO, once again, has delivered strong growth. So overall, an increasing trend in the Advanced Wound Management franchise. So I will now hand over to Julie to talk about the guidance.
Julie Brown: Thank you, Olivier. Good morning, ladies and gentlemen. As Olivier explained, it is a good start to the year. Our outlook for the full year is unchanged. The trends across the markets where we operate have remained stable, albeit with some softness in European recon. We continue to and expect an improvement in revenue growth and in trading profit margin compared to 2014. In terms of phasing, we normally see half 1 margins lower than the second half of the year. And in 2015, we expect this to be more pronounced due to the timing of cost efficiencies, our investments and an increase in seasonality in revenues. As expected, group optimization benefits and ArthroCare synergies will be weighted towards the second half of the year. In addition, the RENASYS distribution hold in the U.S. will impact half 1 margins delivery compared with the prior year. And as you recall, the distribution hold was initiated at the end of June 2014. So as I said, the margin phasing will be more pronounced, with a significantly lower margin in half 1 compared with half 2. Finally, as you know, exchange rates have been volatile, and the dollar has strengthened further since our last update. If the current exchange rates prevail, we expect a full year headwind on sales of minus 7%. And for Q2, we expect a headwind of minus 9%. And with that, I'll hand back to Olivier.
Olivier Bohuon: Thank you, Julie. Okay, well, to conclude, we had a good start to the year. And I'm very pleased with our growth platform delivery. In line with our guidance, I expect to continue improvements as the year progresses. And thank you. And this ends the formal presentation. And Julie and I will now take questions. [Operator Instructions] Thanks a lot.
Operator: [Operator Instructions] We will now take our first question from Michael Jungling from Morgan Stanley.
Michael Jungling: Two questions. Firstly, on Advanced Wound Care, a very nice acceleration in growth following many quarters of declines and market share losses. How sustainable is a positive growth rate throughout 2015? And question 2 is on Bioactives. It seems that we've seen an opposite trend, quite weak in Q1. Can you comment on what has happened in Q1? And also, pricing and volume and the ability to, perhaps, grow in the teens rather than the low single-digits or mid-single-digits for 2015?
Olivier Bohuon: Okay. Well, I'm not sure I got all your question on the biologic. But as we see, we have had a 5% growth in the biologic, which is less than what we're used to see the year before, in 2014. However, we see also a very strong dynamic month after month. So really, the impact has been mainly on month 1 and month 2. And we now see the normal trend, I would say, coming back. And we believe there is a number of things here. REGRANEX was not as strong as we're expecting. SANTYL is doing very well and, as you know, the most important product in the portfolio. So we see a -- this dynamic pretty well, and we confirm the growth, double-digit growth for 2015 without any issue. Now, the second question, Michael, was on RENASYS?
Michael Jungling: No. The second question was on Advanced Wound Care, a very nice growth in the quarter.
Olivier Bohuon: Yes. Well, on Advanced Wound Care, as you know, we have done a number of things. And I think I was pretty enthusiast and clear in Q4 about the new dynamic that we're expecting in Advanced Wound Care in the U.S. If you remember, it was basically based on 2 things: A, was the reorganization of the sales force, refocusing the sales force on the growth levers, like ALLEVYN, for example; and also, a change in management that we started to implement in June last year and, which is, obviously, now totally operational. So is the growth going to be sustainable? Well, yes, it would be a good growth this year. Now, as you know, Q1 also last year, was the quarter of de-stocking. So the comparator is pretty weak. Having said that, we see a total new dynamic in this business in the U.S. And I'm very confident that the growth will be here for the rest of the year.
Michael Jungling: So Olivier, on Advanced Wound Care then, a positive growth rate for every single quarter is a realistic scenario?
Olivier Bohuon: Yes, yes, yes.
Michael Jungling: And then when it comes to...
Olivier Bohuon: Actually, I mean, we just mention here the U.S., which, obviously, was the issue last year. But I think it's also important to mention the fact that the emerging markets and also in Europe, things are coming back on track in the Wound Care business. Emerging market is very strong, and Europe is also pretty significant in terms of growth. So we are -- I think that what we have done, the change in strategy, the change of management were really essential to implement. And I'm very confident for the rest of the year.
Michael Jungling: And finally, you didn't answer the question about pricing and volume for Bioactives in the quarter.
Olivier Bohuon: Well, for the -- there's no change, actually. We have not seen any change, and we have not implemented any change in the pricing for the quarter. For the rest of the year, we are going to make an evaluation of what has to be done or not.
Operator: We will now take our next question from Veronika Dubajova from Goldman Sachs.
Veronika Dubajova: I have 2. The first one is on the Hip and Knee business. And thank you for the comments around the DTC campaign, that's quite helpful. But I'm just wondering if you have any commentary on pricing and what you saw in the quarter. I think, at AAOS, there was some debate that maybe pricing was starting to get a bit worse. And I'm wondering if you saw that at all. And maybe related to that, just how are you thinking about any potential impact from the Zimmer-Biomet deal on pricing in the medium to long term? And then, my second question is on M&A. And I think there were some headlines this morning on Bloomberg, Olivier, from an interview. And maybe you can just refresh our memory, how are you thinking about what's in the pipeline for this year? What areas are of interest? And more broadly, just given where equity valuations are today, is it fair to assume that we might be seeing a pause from you from an sort of larger deal perspective? Or do you still think there are assets which are undervalued in the current market conditions?
Olivier Bohuon: So 2 questions here. On the Hip and Knee, yes, you're right, I think it's important to mention the fact that we have started in February, the first, actually, DTC campaign combining Hip and Knee positioned on our VERILAST Technology, which has shown, for the moment, an amazing number of clicks on Internet. And as you know, it takes about 12 weeks to really see the effect of this campaign. For the moment, we beat all what we have done in the past in terms of efficacy of the campaign. How many people have watched this, how many people are interested, the clicks. And so we're very confident this will really help our following quarters. In terms of pricing, Veronika, no, we have not seen any change, actually. It's a very stable pricing situation, both in the U.S. and in Europe. So for us, there is no, absolutely no change on this dynamic. So this is for your first question. On second question on M&A strategy, yes, we are still working hard in trying to get nice potential acquisitions. And as you said, to refresh memories, we are looking forward to acquire distributors in the emerging market. That is our strategy to become closer to the customers and avoid the distributor in the countries. So we recently have acquired, just to remind you, last year -- 2 years ago actually, the -- 2 distributors in Brazil, PC and Politec. We have acquired last year our distributor in Turkey. And we just acquired our distributor in Colombia very recently. And we are looking for other opportunities in 2015. That's number one. Then, number 2 is the -- we are still working a lot on the bolt-on acquisitions. We are looking also for potential deals. And we also like to put some money from time to time in some businesses, which are far away in terms of, I would say, go on market, but -- go-to-market, but which we believe are important for the potential future of Smith & Nephew. So we invest early in small companies where we believe there is a value to do. And then, we, obviously, the classic M&A. So we are always looking at this, and we have a clear path. I would just refresh your memory also, which is the things we do are always align to the fact that we want to rebalance the company toward higher growth businesses. So that's why Emerging Markets is important, that's why ArthroCare was important, that's why Healthpoint was also critical. And this is why we are still -- we still believe that we have opportunities in the market to acquire.
Veronika Dubajova: And Olivier, if I just may follow up real quick on the pricing question. Any views on impact from Zimmer-Biomet, whether you're likely to see change in the pricing environment?
Olivier Bohuon: No. We have not seen any impact in terms of pricing, Veronika.
Operator: We will now take our next question from William Plovanic from Canaccord Genuity.
William Plovanic: Great. So 2 questions, one a follow-up to Veronika's, and that would be just on the M&A thoughts. As you say potential future kind of for Smith & Nephew, early small companies, growing market, should we think that, that is more geared towards maybe the ENT and/or the gynecology areas? Or would those be total greenfield opportunities for you? And then, my second question is as we think of the integration of ArthroCare, I believe one of the original benefits was really expanding the international footprint. So kind of twofold question: One, where are you with the U.S. integration? Are you fully complete on the distribution standpoint there? And then secondly, on international, at this point, do you have ArthroCare products distributed through all your international geographies?
Olivier Bohuon: On the M&A, obviously, ENT and GYN are potential targets for us in terms of acquisitions. I mean, those businesses are doing great, actually. And GYN is a good business for us. It's small still, but growing strongly. In ENT that we got from the acquisition of ArthroCare, which was a business of about $100 million, is also growing, which by the way, was not the case before with ArthroCare. So I think that what we have done in changing management and in focusing on the big stuff on ENT is working. So yes, we have opportunities to acquire in this field, with no doubt, but also in the rest of the field as mentioned before. Regarding ArthroCare, so it's very simple. ArthroCare is integrated totally in the U.S., that means that everything has been done. It's finalized, it's done. All the people are now in the field. And they all have in their portfolio, the full portfolio of ArthroCare and Smith & Nephew, so that's done. International, you said, well, it was to increase the footprint. No, it was not to increase the footprint. What we did and what we liked in the international portfolio of ArthroCare was actually the fact that they had a lot of products registered but didn't have a sales force of the right size. So for us, it was just basically taking in a basket all the product we wanted, and they are now with us. So we also start to see, and we will see that in the months to come, the effects of this integration, which is also done in the international area.
Operator: We will now take our next question from Tom Jones from Berenberg.
Thomas Jones: I had 2. I just wanted to quickly follow up on the comment, Olivier, that you made about deductibles in the Bioactives business. It seems a little bit counterintuitive to me. I can kind of understand why deductibles might have an impact on elective surgery. But for most of the indications that your Bioactive products are used in, they don't seem to me like the kind of things that you would put off until the next quarter to fit in more with your deductible plans. So a bit of further commentary there would be helpful. And then a second question, just on Slide 4. I'm trying to reconcile the sort of growth of your franchises with the growth of your regions. And I just -- I guess, I feel like I'm missing something in that if I look at the combined growth of the U.S. and established OUS businesses, it's almost nothing and it's been that way for a couple of quarters. Yet, if I look at all the product franchises, they all seem to be doing reasonably well. I mean, I guess, what I'm getting at is if we look at the key growth franchises like Sports Medicine, Other Surgical and Wound Care, how much of that total growth is coming purely from emerging markets? And how much is coming from the U.S. and established OUS markets? And also, I guess, the follow-on question from that is if those markets aren't growing, you've been trying to get them to grow for quite a long time and been putting a lot of money into R&D, why is the growth so still -- still so lackluster, I guess, is the question?
Olivier Bohuon: Okay. Well, look, on this growth, I mean, I think it's interesting, the -- your question. I mean, I think that if you exclude the RENASYS impact, which is purely a U.S. impact, the Established Market and U.S. market has grown pretty decently actually. I mean, the Wound, we have mentioned it, the Knees have been growing 2%, Hip has been minus 1%, that is true. But globally, it is -- by the way, the minus 1% in Hip, if you exclude the metal on -- I mean, the BHR, it's a flat growth. U.S., if you exclude the RENASYS, was 4% in terms of growth, 4%. So if you take, for example, the Sports Medicine in the U.S., Sports Medicine was 10% in the U.S. and was 9% as a whole, globally. If you take the Wound, I think I've mentioned it, Wound Care is 9% in the U.S. The rest of the geography was strong. Actually, I think it was, Advanced Wound Care, I forgot the exact figure, but I think it's about 20% in the emerging market -- 22% in the emerging -- or 20%, I forgot the -- 20%, yes. Thank you, Julie. 20% in the emerging market. So no, I mean, U.S. is growing. I mean, there's no doubt. I mean, we have here the RENASYS impact. Again, Smith & Nephew this quarter, if you exclude the day that we have lost, if you exclude -- which is 1 point, would have been 4% growth. If you exclude RENASYS, which also 1 point, would have been 5%. So that's why I'm pretty happy with the dynamic of this quarter because, okay, with RENASYS, we knew that. But for the rest, I think we really are aligned with our expectations, and you remember that, Tom, which was to grow better in 2015. And actually, you will see progresses during the year in all the geographies. So I hope I clarified a bit this U.S. dynamic for you. In terms of Bioactive, well, I've mentioned the insurance plan and the deductibles and the effect in the first quarter, which is something we believe. I think there is also something which has to be taken in consideration. It has been, and that's my view, personal view of this, which now, I think, is done. We have reorganized also our sales force, as you know, for the Advanced Wound Care. And we have done also some reorg on the Bioactives in the same time. As you know, we have decided to work on the long-term care also, which was a new segment for us, which is actually working very well, now that we have this focus for the SANTYL product. But I do believe we have seen a slight disruption in the first month. The reorg was in December. I think that January has maybe suffered from that. And now it's done, and it works very well. As I said to you, there is a strong acceleration in the quarter of the dynamic of the Bioactive, which makes me confident that this will be a double-digit growth this year.
Operator: We will now take the next question from Lisa Clive from Bernstein.
Lisa Clive: Actually, it's a good follow-up to the previous question. Either Julie or Olivier, would you just be able to give us a U.S., OUS split of growth for the major business lines? You've given it for recon. You've made some comments on specific areas. But I suppose, Trauma is another area of interest. And on the second question, the RENASYS product approval time line, clearly, hard to tell since it's -- it seems like it's just sort of sitting in the FDA's court right now. But you mentioned sort of somewhat in the press release the go-to-market strategy once you do get a product reapproved. How are you thinking about this in terms of the reapproval of RENASYS 2 versus the just straight out approval of RENASYS 3? And do you have any indication on time line from the FDA on both of those fronts?
Olivier Bohuon: Unfortunately, I'm not going to give you the split because we don't disclose this on a detailed basis. So -- and you will understand that it's sensitive information. So on RENASYS, let me give you some news on RENASYS and some highlights, which I think are really important for you to understand. So first of all, we are confident that we will get there, taking it -- it took, I mean, time which is a bit longer than expected, but we are making good progress. And actually, we got a minor part of the RENASYS system approved last night by the FDA and -- which is extremely important for us. And we expect the main part of the range approved over the summer. So I think that that's to tell you that things with the FDA are working well and are absolutely on track with our expectations. As you know, we are working also on the next generation of Negative Pressure Wound Therapy. And so we are still in the process of evaluating the U.S. market reentry strategy. So that's why I was suggesting that you model a 0 or low revenue for H2 for the Negative Pressure of RENASYS in the U.S., and I think that's where we stand. So again, one part of the systems has been approved last night. And we expect the main part of the range over summer because it's a range of products.
Lisa Clive: Okay. And then, just a follow-up. Since you won't comment specifically on the U.S., OUS split for your AWC growth, could you at least comment on what you think market growth is in the Advanced Wound Care category in the U.S. in particular?
Olivier Bohuon: In the U.S., in particular, let me check. I think it's about 3% -- 5% or 4% -- 4% or 5%. Phil, if you have any?
Phil Cowdy: No.
Olivier Bohuon: 5%, yes. 4% or 5%, that's what we believe.
Operator: We will now take the next question from Martin Brunninger from Jefferies.
Martin Brunninger: Actually, I have just one question left and it's on Arthroscopic Enabling Technologies. That franchise hasn't really grown, it was very flat for a while and it was negative this quarter again. Maybe you can give us some color on what's going on in this business? And why you don't see any growth in that quite significant part of your Sports Medicine division? Has it to do with changes in reimbursement for arthroscopy, generally? Or is it pricing? Or are you losing market share? That would be great to have a bit better understanding about that.
Olivier Bohuon: Okay. Well, on the Enabling Technologies, actually, we do extremely well. There is a super dynamic, which basically shows you the value of the arrival in Smith & Nephew portfolio of the radiofrequency, low temperature model of ArthroCare. So if you see a minus 2% in this quarter in the Enabling Technologies, it's not because of the product dynamic because we have no more -- we have lost the royalties that were used to be paid to ArthroCare. ArthroCare, for the old technology of radiofrequency, was basically selling its technologies to third party and they were used to pay royalties. I think they had about 3 companies using this RF technology. And so this is why the impact of the loss of royalties is affecting the growth of the Enabling Technologies for the company. But there is nothing wrong actually. The dynamic of the product itself is doing very well. We expect, and you can expect a decline the rest of the year due to these royalties, which were used to be paid to ArthroCare.
Martin Brunninger: But in 2014, in the subsequent quarters that you show, it hasn't grown either very much. So you had minus 2% in Q1 last year, minus 1% in Q2, and then it recovered it a little bit, but the year before wasn't -- I mean I think it had to do with reimbursement because in Germany or in France, I mean, there has been big conversion of reimbursement. I know that so that...
Olivier Bohuon: No, we don't have this actually. So it's 3 parts, actually, of this. You have the mechanical resection, and so there is a price pressure on this as usual, I would say. You have then the Visualization, and Visualization is really an action that is volatile quarter-on-quarter. And the COBLATION is actually a very good trend, and that's what is, for us, the most important. And actually, if you look at the last quarter, actually we had a very good dynamic in this Enabling Technology, if I remember well, which was -- because we are not affected by these royalties last year yet. And you had the first effect of the COBLATION technology enhancing our portfolio of Enabling Technology.
Operator: We will now take the next question from David Adlington from JP Morgan.
David Adlington: They're both related to Zimmer-Biomet. And firstly, it doesn't look like you're seeing much benefit from any sort of potential disruption there. I just wondered if maybe you could make some comments around that. And secondly, I just wondered if you had any updates on any potential product acquisitions that might come out of forced disposals from that deal?
Olivier Bohuon: Well, are we seeing disruption? Yes, there is a disruption in the Zimmer-Biomet situation. We see that. We see that because we have a -- we receive a lot of CVs. We have also a number of distributors telling us that they would like to work with us. So there is, with no doubt, a disruption. And so we will see the results of Zimmer, I haven't seen them yet. But you have seen that the Biomet was also suffering, and I think it's a mechanical effect of this merger. And now, the -- regarding the portfolio of Zimmer-Biomet, we have looked at this portfolio, as you can imagine. So we are still looking at the remaining part of the products, some could be potentially interested for -- interesting for us. So we are still in the process of evaluation.
Operator: [Operator Instructions] We will now take a follow-up question from Michael Jungling from Morgan Stanley.
Michael Jungling: Two questions. On Hips and Knees, is it correct to assume that you've become quite dependent and, perhaps, more dependent on DTC campaigns than your competitors for growth in Hips and Knees in the U.S.? And if so, why is that? And then secondly, on RENASYS, I guess, for your sales force, it must be quite disheartening that they are now being told that the approval will take longer. Do you need to do extra incentives to make sure that your infrastructure in the U.S. for future sales growth remains intact? That's all.
Olivier Bohuon: It's a very interesting question actually because, obviously, we have asked ourself, I mean, are we linked to this? No. Actually, I think the -- you can do 10 DTC campaigns. If you do not have a good product, it doesn't work. So for us, what matters is the quality of our product or of our technology. And that's why we focused the DTC campaign on Hip and Knee on our unique VERILAST Technology. So -- and so we are not linked to this, actually. I think it's one of the tool of the dynamic which is working. It could be sales force, it could be DTCs, it could be medical application, it could be many things. But we believe that it's now part of our marketing mix to do a good DTC campaign. We know it works. We have been happy. We have done that during the last 2 years. So there is no -- for us, there is no issue on this. So on the RENASYS sales force, second part of your question, they are working. They are not sleeping waiting for the product or for the Negative Pressure to come back. They have been switched on other products, whether it is PICO, which is doing very well, or potentially in supporting the Wound Care dynamic in the U.S. So that's where we stand.
Operator: We will now take the next question from Alex Kleban from Barclays.
Alexander Kleban: Just, yes, 2 quick ones. I didn't catch it earlier, but could you give a sense of market share gain in Wound Care in Europe and emerging markets versus what was overall market growth? And secondly, just on Syncera. We saw there was some color at the AAOS, but I'm just wondering if you had anything further to add since then in terms of contract wins or if you can give any color on volumes.
Olivier Bohuon: Look, on the Syncera, I wish I could give you more color. But I'm not going to give you more color because we have decided that we'll do this in the announcement of Q2, which will be on July 30, so you will have a -- some more insight on where we stand. You remember it was a pilot, and now we call it a limited launch. So we are working on this pretty significantly. And what I can tell you is that we are happy with what we see with Syncera. On the market share gain of Advanced Wound Care in the different geographies, it's difficult to tell you because we don't break that regionally. What I can tell you is that we have gained market share in Wound Care globally. This is a fact. And we expect also to gain share in the future. Now, we don't have a lot of detailed data for the emerging markets in Wound Care. So it is complex to give you a split of where we stand. In Europe, I think we have been growing better than the market for a while. Last year was not the case for different reason. And we expect also to grow better than market, so to gain market share in the future. Stop the questions now. And I would like to thank you for attending this conference. So good day or good night to all of you. Thank you very much.
Operator: That will conclude today's conference call. Thank you for your participation, ladies and gentlemen. You may now disconnect.